Operator: Greetings, and welcome to the AirSculpt Technologies, Inc. First Quarter 2025 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Allison Malkin of ICR. Thank you. You may begin.
Allison Malkin: Good morning everyone. Thank you for joining us to discuss AirSculpt Technologies' results for the first quarter of fiscal 2025. Joining me on the call today are Yogi Jashnani, Chief Executive Officer; and Dennis Dean, Chief Financial Officer. Before we begin, I would like to remind you that this conference call may include forward-looking statements. These statements may include our future expectations regarding financial results and guidance, market opportunities, and our growth. Risks and uncertainties that may impact these statements and could cause actual future results to differ materially from currently projected results are described in this morning's press release and the reports we file with the SEC, all of which can be found on our website at investors.airsculpt.com. We undertake no obligation to revise or update any forward-looking statements or information, except as required by law. During our call today, we will also reference non-GAAP financial measures. We use non-GAAP measures in some of our financial discussions as we believe they more accurately represent the true operational performance and underlying results of our business. A reconciliation of these measures can be found in our earnings release as filed this morning and in our most recent 10-Q, which will also be available on our website. For today's call, Yogi will begin with an overview of the first quarter performance and share an update on our strategic priorities. Then Dennis will review our financial results in more detail and provide our outlook. With that, I'll turn the call over to Yogi.
Yogi Jashnani: Thank you, Allison. Good morning, everyone, and thank you for joining today's call. When I stepped into the CEO role earlier this year, we were facing clear headwinds, both from a softening consumer environment and from internal challenges that had built up over time. We approached 2025 with a focused plan to stabilize performance and lay the foundation for long-term growth. Our Q1 results were in line with expectations. And while we are still in the early stages of our transformation, I'm encouraged by the traction we have seen across key initiatives. Importantly, our early efforts around cost discipline marketing efficiency and operational rigor are showing measurable impact. Transformations are never linear, especially in a dynamic consumer environment, but I remain confident that we are taking the right steps to reposition the business for sustained success. In total, for the first quarter, revenue was $39.4 million, declining 17.3% from the first quarter of 2024, and adjusted EBITDA was $3.8 million for a margin of 9.5% versus $7.3 million and a margin of 15.4% in the first quarter of 2024. The decline in revenue was driven by lower case volume with average revenue per case up slightly. The pressure on cases was anticipated and reflected the decision to pull back marketing spend in the back half of last year and was further compounded by a tough macroeconomic environment. Same-store revenue, which does not include new centers, declined approximately 24% over the prior year quarter and was consistent with our expectation and Q4 trend. We saw an improvement in performance from February into March, and that momentum has continued into April. We believe this early progress reflects the impact of our go-forward sales and marketing strategy starting to take hold. So, while we continue to operate in a challenging environment, our efforts have led to robust lead generation that our sales team is actively working on to drive consultations as we enter the seasonally strong second quarter. Importantly, our disciplined cost actions in Q1 delivered tangible results. On essentially the same revenue base, we delivered $1.9 million more in adjusted EBITDA versus Q4 2024, demonstrating the early impact of our discipline around spend. We will continue to be laser-focused, allocating and prioritizing investment spend on high-return opportunities, while increasing efficiencies in an effort to lower costs. In addition to cost savings, the quarter saw additional encouraging signs that tell us we possess a sought-after procedure with growing brand strength and a strategy that has us on the right path. I will share some of the areas that reflect these signs. First, we continue to see strong consumer interest in AirSculpt. Consumers recognize AirSculpt for its effective procedures and decade long and successful track record in the body contouring space. The inherent value we have created is validated by the consistency of our average revenue per case between $12,000 and $13,000. This is an incredible asset that we will capitalize on as we grow our share of market. Second, we generated strong lead volume growth over Q1 last year as we reallocated our marketing dollars to the tactics that we know work. We increased the efficiency of our marketing, driving significant lead growth without increasing spend versus Q1 last year. This increase in leads has significantly expanded our pipeline. As a result, we have a robust database and will continue to engage with these prospects and convert them over time even as market conditions remain soft. Third, we have strengthened our organization and believe we have the right people in place to drive our transformation. Last quarter, we noted two hires who have hit the ground running. Our new Chief Digital Officer, who joined us prior to the start of the year has spearheaded our lead generation activities that have delivered meaningful year-over-year lead volume growth and our new Chief Sales Officer is improving our consultative sales model with enhanced training, improved sales processes, and a greater focus on lead conversion. We expect these efforts will help deliver same-store sales improvement as we move through the year. I will now turn to a review of the progress made on our business imperatives that are focused on enhancing our culture and improving our go-to-market strategy. Culture is a key enabler of our transformation. I've had the opportunity to visit many of our locations and have been very encouraged by the level of engagement and willingness to embrace change across the organization. Our teams are motivated and aligned around our business imperatives. They are committed to executing against our strategic priorities. I want to take a moment to thank them for their resilience and focus. They are the driving force behind the progress we've made thus far and the progress still to come. This cultural momentum is critical as we continue building the foundation for long-term growth. Our go-to-market strategy improvement is powered by five business imperatives. The first of which is marketing. During the quarter, we reallocated our marketing spend to capitalize on previously proven strategies, including search engine marketing and social media, while testing new areas such as online video. As a result, we have begun to see improvements in lead generation. We are focusing on improving the efficiency of our marketing by investing in the channels we see are performing well in order to drive a higher return on investment. Second, optimizing sales to convert the leads generated from marketing into cases. We have made meaningful investments on this front to strengthen our sales training and refine our processes. We have also expanded virtual appointments and our in-person consultation hours to allow us to accommodate the busy lifestyles of our customers. Third, we are introducing new services to tap into more consumer demand. To capitalize on the complementary nature of GLP-1 and increased demand for skin tightening, we launched a pilot of our skin tightening procedure in the second quarter. We believe this represents a meaningful new revenue stream that broadens our consumer reach and leverages existing infrastructure and surgical expertise. Fourth, enhancing our customer experience to ensure we consistently provide premium results. Improving our customer journey remains a top priority, and we have initiatives that are in development and expected to roll out in the back half of the year and into 2026. Lastly, we continue to invest in technology to accelerate these priorities. We are in the process of launching expanded financing options to provide our customers with added flexibility to book cases, which is expected to help conversion, especially in this environment. We remain on track to introduce these new options across all of our centers by the end of the second quarter. Additionally, we expect to introduce new technology enhancements during the year to enable our sales team to close deals more efficiently. As Dennis will discuss shortly, we are introducing an annual outlook and currently expect fiscal 2025 revenue in the range of $160 million to $170 million and adjusted EBITDA between $16 million and $18 million. Our guidance reflects current economic conditions with some conservatism built in given the uncertain consumer spending environment. Our outlook, however, does not contemplate a downturn in the economy. As it relates to tariffs, while we are not directly exposed given we operate a service-based business and product costs are not material to our expense base, we are closely monitoring consumer behavior as inflationary pressures and change in consumer sentiment driven by tariffs can impact us given our procedures are discretionary and a considered purchase. We are proactively addressing this by removing barriers that may prevent leads to convert to cases such as by providing expanded payment options, while increasing our lead generation efforts. We believe that by staying focused on implementing our strategic priorities, we will be able to improve our sales trend despite the environment. In summary, we have made good progress in the first quarter, seeing early traction on our initiatives, and we have plans in place to continue to advance our business imperatives throughout the year. I remain confident in our business, the effectiveness of our procedures and the growth opportunity we see ahead to capture a greater share of the $11 billion U.S. addressable market that we serve. We remain vigilant in our management of expenses and expect to improve sales trends and profitability as we move through the year with a keen focus on maintaining a durable balance sheet as we continue our transformation. I know this business can return to growth and consistently perform at a higher rate of profitability. That is our focus and that is our commitment. Overall, I firmly believe the best years lie ahead for AirSculpt and its shareholders. And with that, I will now pass it over to Dennis.
Dennis Dean: Thank you, Yogi and good morning everyone. As mentioned, revenue for the quarter was $39.4 million, a 17.3% decline versus the prior year quarter with same-store revenue down approximately 24%. Cases declined 17.9% to 3,076 and average revenue per case for the quarter was $12,799, slightly higher than the first quarter of 2024. The decline in revenue was mainly driven by lower cases as we continue to operate in challenging conditions and was further impacted by our reduction in marketing in the second half of 2024. However, at the start of 2025, we have refocused our marketing efforts and as a result, leads have grown considerably and our cases improved as we moved into March, with this trend also continuing through April. It is important to note that while we have experienced improvement in our revenue trend, cases are still down year-over-year due to the softness in consumer spending. The percentage of patients using financing to pay for procedures was 44%, which is below the 50% rate we have experienced in the fourth quarter. We are looking forward to sharing updates regarding the launch of our broadened financing solutions, which will give prospective patients added flexibility. As a reminder, we received full payment of all procedures upfront, and we have no recourse related to patients who finance their procedures with third-party vendors. Cost of service decreased $2.1 million compared to the prior year period. However, as a percentage of revenue increased to 40.5% versus 37.9%, primarily due to fixed cost components such as rent and nursing, which do not scale down in line with short-term revenue fluctuations. As revenue trends improve, we expect this metric to align more closely with historical levels. Selling, general, and administrative expenses increased $6 million in the quarter compared to the same period in fiscal 2024, primarily due to an increase in equity-based compensation. The prior year quarter benefited from a $10.4 million reversal in stock compensation related to certain performance-based stock units. On a sequential basis, SG&A decreased by $1.6 million, of which $1 million was from equity-based compensation and the remainder due to our cost reduction initiatives. Our customer acquisition cost for the quarter was $3,130 per case as compared to $2,990 in the prior year quarter. Our CAC was higher year-over-year, driven by a decrease in case volumes as our total advertising spend was $1.2 million less than the prior year quarter. As our new marketing and sales efforts gain traction, we expect customer acquisition costs to decline. Adjusted EBITDA was $3.8 million compared to $7.3 million from fiscal year 2024 first quarter as a result of our revenue declines. Adjusted EBITDA margin was 9.5% compared to 15.4% in the prior year quarter. Adjusted net loss for the quarter was $1.1 million or a loss of $0.02 per diluted share. Turning to our balance sheet. As of March 31st, 2025, cash was $5.6 million. Our gross debt outstanding was $74.7 million. Our leverage ratio was 3.76 times at March 31st, 2025 and we are in compliance with all covenants under the terms of our credit agreement. We remain focused on reducing our leverage to historical levels. As such, from a capital allocation perspective, we intend to use excess cash generated from operations as well as potential proceeds from any capital raise for this purpose. Cash flow from operations for the quarter was $0.9 million compared to $3.4 million in the first quarter of fiscal 2024. Turning to our outlook. For 2025, we are guiding revenue in the range of $160 million to $170 million and adjusted EBITDA between $16 million and $18 million. As we prioritize accelerating same-store sales in our existing centers, our guidance continues to assume no new de novo openings this year. Additionally, we anticipate remaining in compliance with the terms of our credit agreement throughout the fiscal year. I will now turn the call over to the operator to begin the question-and-answer portion of the call.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] The first question is from Josh Raskin from Nephron Research. Please go ahead.
Josh Raskin: Hi thanks. Just first question, can you speak to some of the specific cost savings that you saw in the quarter and maybe how sustainable you think those are? And if you think those have to increase in order to grow cases in the future?
Dennis Dean: Hey Josh, thanks for the question. This is Dennis. So, a significant portion of our -- what we benefited from the cost related to some workforce changes that we made. We did those. If you recall from the last call, we were focused on targeting about $3 million of savings throughout the year. And so these were workforce reductions. And so we anticipate those running with us through the remainder of the year.
Josh Raskin: Okay, that's perfect. And then guidance implies an EBITDA margin of, let's call it, just over 10%. What is the potential margin you think you can do on $160 million to $170 million of revenues, meaning on the existing base of cases, et cetera, where do you think margins can get to when all the cost savings take effect? And then what sort of case growth do you think you need to see your total revenues in order to really increase margins? And as you mentioned in the prepared remarks, back towards targeted -- towards historic levels?
Yogi Jashnani: Hey Josh, this is Yogi. Thank you for the question. So, for our current guidance between $160 million and $170 million, we believe that EBITDA margin we have guided to is appropriate. As we get back to the 2023-ish levels, 2022, 2023-ish levels of same-store revenue, we expect -- we start to approach the long-term levels of 30%-ish for EBITDA margins. Overall, we believe the business can get there, and we are on a way over there right now.
Josh Raskin: That's super helpful. And then just lastly, if I could sneak in. You said you saw some momentum in cases exiting the quarter, March better than February and then continuing into April. Is that the seasonal patterns? Or are you talking about sort of same-store year-over-year cases? And are you anticipating still getting to same-store case sort of being flat by the end of the year?
Yogi Jashnani: Yes. So, Josh, we were -- what we saw was both seasonally getting -- seeing improvements, but also our same-store sales improving sequentially. We are encouraged by those signs. And yes, we still expect by end of year, we are targeting getting back to same-store sales growth.
Josh Raskin: Thanks. Perfect.
Operator: The next question is from Whit Mayo from Leerink Partners. Please go ahead.
Morgan McCarthy: Hey, good morning. This is Morgan McCarthy on for Whit Mayo. It would be helpful to understand what some of the underlying assumptions are within the guidance range that you put forth today. So, maybe around like same-store case growth and pricing? And how do you expect that growth to ramp over the course of the year? Thanks.
Dennis Dean: Hey Morgan, thanks. So, as it relates to how we're thinking about it, from a pricing standpoint, at this point, we stayed very consistent in our thoughts around kind of how we finished out the quarter. Sequentially, we've been seeing pretty stable results on our pricing. So, we're not really factoring any deterioration there. From a case perspective, obviously, we're 24% down in the first quarter, which is very comparable to Q4. We are seeing some signs of improvement as we kind of move into the second quarter, but we're not going to give inter-quarter guidance. And quite frankly, we haven't even closed out the month of April fully as far as where we are in the quarter. But we're seeing signs of improvements. We think that the consumer is still showing signs of continued pressure. And so we're not expecting really what I would call significant improvement on a same-store percentage in the second quarter. But as we kind of move out through the remainder of the year, as Yogi mentioned, we do expect as we exit the year to be -- to return back to some same-store case growth.
Morgan McCarthy: Okay. Thanks. And then if I could just ask one more question. So, you've talked a lot about your lead volume improving, but have you seen any improvement in the rate of conversion to cases yet? And is that still trending around 60 days? I think that's where it was in the second half of last year? Or have you seen any improvement in that metric so far this year?
Yogi Jashnani: Hey Morgan, this is Yogi. So, for -- as far as time to book cases, we are still seeing that is elongated. We attribute that significantly to also not only some overhang from our activities, but the uncertain macroeconomic environment, we continue to see that the consumer is pressured. We are encouraged by the growth in lead volumes and expect that becomes a robust source of growth for the future and the activities that have led to those lead volumes to continue so that we continue to feed the pipe through marketing.
Morgan McCarthy: Okay. Thank you. Very helpful.
Operator: The next question is from Sam Eiber from BTIG. Please go ahead.
Sam Eiber: Hey, good morning. Thanks for taking the questions here. Maybe I can start on the guide and clarify, any contribution that you guys are assuming at this point for the standalone skin tightening you're going to be piloting this year?
Yogi Jashnani: Hey Sam, this is Yogi. I can take that one. So, for this year, we are not expecting any contribution from the skin tightening pilot. Any success and growth over there would be incremental on top of what we are projecting.
Sam Eiber: Okay. Thanks for the clarification. And then maybe moving to some of the newer marketing initiatives. Any detail on maybe which ones are resonating more with others that's driving the better performance in terms of the lead generation? I just want to get a little bit more detail there would be great. thank you.
Yogi Jashnani: Absolutely, Sam. So, our focus in marketing starts with consumer behavior. What we are seeing is that there is still consumer interest in our services. And we made an effort to make sure that we are tapping into that interest, that's primarily coming from two areas. One is search engine marketing, where we see consumers are actively looking for solutions. And then the second being social media marketing where it is much more of a passive approach where people are interested, but need a little bit more information to raise their hands and show their interest. Those have been the primary drivers of growth, and we continue those to be the key drivers going forward. We're also testing into new areas such as online video, but too early to report any results over there.
Sam Eiber: Great. Thanks for taking the questions.
Operator: The next question is from Korinne Wolfmeyer from Piper Sandler. Please go ahead.
Korinne Wolfmeyer: Hey, good morning team. Thanks for taking the question. I'd like to touch a little bit more on just like the current macro state and how you're factoring that into guidance. And you did give us a fairly wide guidance range. So, maybe you can touch on what does the low end versus the high end assume for the current macro and the broader aesthetics market? Thank you.
Yogi Jashnani: Absolutely, Korinne. Thank you for the question. So our guidance, as you can imagine, incorporates a range of scenarios. The -- on the low end, we are planning for a further moderation in consumer spending. But that does not include a recessionary environment. On the high end, we are incorporating our current operating environment with significant benefits from our initiatives, including things like financing options where we want to give consumers more options to be able to say yes to the treatments and get the treatments done. Overall, we do expect our actions to continue to deliver sequential improvement. But as you called out, the macro environment does remain challenging and uncertain. Other public companies are noting the pressure on the consumer as well. We are confident we have the right initiatives in place to make progress. Macro will ultimately impact the pace of the progress.
Korinne Wolfmeyer: Great, that's super helpful. Thank you. And then as it relates to the financing, can you just review again when that's rolling out? And what gives you confidence that, that's really going to be or -- really help that case volume pick up? I mean it does seem like the percent that finance this quarter stepped down a bit. So, any data or insights you can share on how you know that financing or how you believe that financing is a meaningful benefit to the consumer? And what gives you confidence that it is going to lead to a bit of a pickup? Thanks.
Yogi Jashnani: Absolutely, Korinne. So, to the question on timing, we are expecting to roll that out by the end of Q2., So that's in progress right now. It is one of many initiatives that we are working on. As you saw in Q1, many of our lead generation initiatives drove value. This quarter, this would be one of the key initiatives that is driving value. In terms of what gives us confidence, a couple of things. One, we continue to see demand for our services, and we continue to hear that financing options can help our consumers just figure out payment plans and go from there. We are a considered purchase at $12,000 to $13,000 average ticket. So, financing does help there. And in my past background as well, having worked in multiple consumer businesses, including aesthetics, have seen that is a key lever that has helped businesses expand while making sure that we are meeting consumers' needs. So, I'm comfortable saying it should have an impact. And once we roll it out, we'll have a sense of the magnitude of that impact.
Korinne Wolfmeyer: Very helpful. Thanks so much.
Operator: There are no further questions at this time. I would like to turn the floor back over to Yogi Jashnani for closing comments.
Yogi Jashnani: Thank you again for joining us. We look forward to speaking with you when we report second quarter results.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.